Ben Suh: Good morning. This is Ben Suh from Investor Relations. Thank you for joining our Earnings Call for the First Quarter of 2021. With me representing each of the business units are Mr. Han JinMan, Executive Vice President of the Memory Global Sales and Marketing Office; Mr. Shin Dong Ho, Vice President of the System LSI Marketing Team, Mr. Han JinMan, Senior Vice President of Foundry Marketing Team; Mr. Choi KwonYoung, Senior Vice President of Samsung Display; Mr. Kim Sunggu, Vice President of the IT and Mobile Business; and Mr. Song WoonJun, Vice President of the Visual Display Business. In addition, Mr. Kang TaeGyu from Investor Relations is present on this call as well. I would like to remind you that some of the statements we will be making today are forward-looking based on the environment as we currently see it. And all such statements are subject to certain risks and uncertainties that may cause our actual results to be materially different from those expressed in today's discussion. Before we start the review of our quarterly results, I would like to address the first quarter dividend. Today, the Board of Directors approved a quarterly dividend of KRW361 per share for both common and preferred stock. As part of the shareholder return policy covering the three year term from 2021 to 2023 announced in January, the regular dividend will be KRW9.8 trillion for each of the next three years. Accordingly, the total payout for the first quarter to be paid in May is KRW2.45 trillion or one fourth of the 2021 annual total. With that I would like to present the results for the first quarter. Despite many ongoing challenges, including the effects of COVID-19, we once again achieved solid results. Thanks to the dedication of our employees and support of our customers and partners. Total revenue in the first quarter increased 6.2% quarter-on-quarter to KRW65.4 trillion, a new all-time high for a first quarter. Despite weak seasonality for the display business, strong smartphone sales and PC and mobile LED memory demand drove such results. Compared to the same period last year, revenue increased by 18.2% mainly due to solid sales of finished products, including smartphones, TVs, and digital appliances. Gross profit grew slightly on a sequential basis to KRW23.9 trillion is a significant increase in contributions from the IM division more than offset declines from the other businesses. Gross margin was 36.5%. SG&A expenses decreased slightly quarter-on-quarter to KRW14.5 trillion with reduced advertising and promotional costs. As a percentage of sales, they declined by around 2 percentage points. Operating profit increased quarter-on-quarter to KRW9.4 trillion, a solid sales of smartphones and improved profitability in the CE division outweighed weak seasonality in display and a decline in semiconductor profitability. On a year-on-year basis both operating profit and operating margins increased backed by strong sales of finished products and an increased utilization rate for mobile OLEDs. I will now briefly review the results of each business unit. For the semiconductor business, despite solid memory shipments mainly for PC and mobile, profits edge down primarily due to the production disruption at our Austin fab, which was caused by a major power in water outage. NAND price declines and initial costs associated with ramping up new memory fabs also weighed on the results. In display, earnings fell sequentially due to weak seasonality for mobile products. On a year-on-year basis, however, earnings improved significantly led by a higher OLED utilization rates. In the Mobile business, earnings improved significantly both quarter-on-quarter and year-on-year as sales of flagship and mass market smartphone models grew considerably and its contributions of products in the Device Ecosystem lineup such as tablets, PCs and wearables also grew. The network business maintained its solid performance as 5G continues to expand globally. For the CE Division, profits grew both quarter-on-quarter and year-on-year due to continued pent-up demand for digital appliances alongside expanding sales of premium TV products. Regarding currency effects, there was weakness in the U.S. dollar and strengths in the Euro and major emerging currencies against the Korean won. This was positive for our finished product businesses, but the weak dollar was negative for the component business resulting in a net neutral position for the company as a whole. Next, I would like to share our business outlook. In the second quarter, we expect earnings to grow in the semiconductor business mainly due to improving memory market conditions, but to decline in the IM Division as the new product effects weaken. For memory, strong server demand should lead to improved earnings. In system semiconductor, foundry is already seeing full resumption of manufacturing at the Austin fab, while System LSI is likely to continue to feel some effects of last quarter's disruption in foundry production. For display, we expect mobile panel sales to decline due to weak seasonality for smartphones and the effects of some component shortages. In Mobile business, revenue and profitability are likely to decrease as flagship new product effects decline. And some components experienced supply issues, but we will work to minimize the impacts of the component issues by actively managing our local SCM capabilities. In the CE Division for TVs, we will focus on bolstering sales of new products such as Neo QLED models and actively capturing demand from sporting events. The digital plans business will strive to grow by expanding Bespoke product sales globally. Now let's move on to outlook for the second half of the year. For our component businesses, we expect market conditions to improve and we will continue to extend our product and technology leadership. For our finished products businesses, we will focus on strengthening our premium segment leadership in our product lineups. However, global macro risks, including demand uncertainties related to COVID-19, are likely to persist. For memory, we expect the business environment to remain favorable, including positives such as solid demand for server and mobile products. We will enhance our market leadership by accelerating migration to 15-nanometer DRAM and 6th-generation V-NAND while also expanding application of EUV process in our products. System LSI will work to maximize its supply capabilities by cooperating this foundries at home and abroad and Foundry will expand its supply with full-fledged mass production at Pyeongtaek Line 2. For display, we will continue our efforts to increase adoption of OLED panels while also establishing a foundation for QD display in the large panel business. The mobile business will strive to secure a solid profitability by further popularizing foldable models, expanding our lineup of mass market 5G models and bolstering growth of tablets, PCs, and wearables. The network business will continue to address demand from growing domestic and global 5G commercialization as it also continues to explore new business opportunities globally. Amid demand uncertainties related to COVID-19, the CE division will work to secure profitability by further expanding sales of premium products, including Neo QLED and ultra-large screen TVs as well as new life digital appliances. Now, I will address capital expenditures. CapEx in the first quarter was KRW9.7 trillion with KRW8.5 trillion allocated to semiconductor and KRW0.7 trillion to display. Memory investments concentrated on capacity expansions and advanced process migrations in Pyeongtaek and Xian to address growing demand. Foundry investments focused on capacity expansions for advanced processes, including for 5-nanometer EUV. Finally, I would like to share some of our activities aimed at enhancing governance for sustainability management, as well as our key achievements in this area. We continue to strengthen our sustainability management. Our efforts to protect the environment are enabled by a range of activities, which include reducing our environmental footprint and increasing our role in the circular economy. We also strive to create a better society as we engage in activities related to human rights, diversity, digital responsibility, and the education of the future generations. We achieved our goal of meeting 100% of the energy needs at our operations in the U.S., Europe and China from renewable sources by 2020, a goal we announced in 2018 as part of an effort to increase use of renewable energy. In addition, our commitment to developing energy-efficient products and reducing energy use in our operations was recognized at the U.S. Environmental Protection Agency 2021 ENERGY STAR awards. Samsung became the first company in nine years to receive the Corporate Commitment Award. We also received our eight Sustained Excellence award, which is the highest honor among the annual awards. In particular, the rare and prestigious Corporate Commitment Award, which was created in 1993 is only given when there is a company without standing leadership in product efficiency and energy management, and Samsung became the first non-U.S. company to receive the award. The Sustained Excellence award is granted to companies that receive ENERGY STAR certification on a high majority of products released in the U.S., which enhances ENERGY STAR’s brand awareness among consumers. Meanwhile, we are now including sustainability management as part of the evaluation criteria for all business units and executives to better reflect sustainability achievements in performance evaluations and compensation. We believe this will help further our achievements in sustainability management throughout the company. We’ll keep bolstering our sustainability management through continued efforts to strengthen our response on EST issues, while also enhancing our financial performance. I will now turn the conference call over to the gentleman from each business unit to present first quarter performances and outlooks for their corresponding business segments.
Han JinMan: Good morning. This is Han JinMan from the Memory Global Sales and Marketing Office. Overall demand was decent in the first quarter, backed by strong demand from mobile, and mainly from laptops, from PCs. However, profit slightly decreased due to the initial cost of new line ramp up that is associated with advanced node migration and the downward trend in NAND prices. DRAM, demand for mobile stay solid, despite weak seasonality. Due to releases of new models by major customers and increased penetration of 5G smartphones, centering on the Chinese market. Demand for PC was partially affected by a shortage of some components, but it remains strong as online-based activities became routine for global consumers, amid continuing effects of COVID-19, followed by an expansion of the one PC per person trend. Global demand in the first quarter increased moderately quarter-on-quarter and significantly year-on-year as content-per-box rose due to increasing adoption of a new server CPU and demand was solid, mainly from data centers. Demand for consumer products was also strong despite weak seasonality. Due to an increase in 4K high-definition content and growth in TV and set-top box memory content to use streaming services. Our results beat our big growth guidance. Thanks to our active response to growing mobile demand in the burgeoning 5G market, a rising server demand for data centers, while also benefiting from sales of PC and TV products related to the rise of home entertainment culture. Now let's talk about the NAND market. Demand for mobile was robust in accordance with strong smartphone sales and along with rising demand in content-per-box, mainly from Chinese customers. Server SSD saw growth in demand compared to the previous quarter, thanks to the base effect of weak demand in the previous quarter as major datacenter companies resumed storage investments. Demand for client SSD, especially for laptops, also stayed strong as contactless activities such as telecommuting and online education continued. Amid full-fledged migration to 128-layer, sixth generation V-NAND, we exceeded our bid growth guidance by actively addressing the recovery of demand for server SSD and solid demand for mobile and client SSD. Now moving to the outlook for the second quarter. In the second quarter, we expect our profits to improve significantly backed by strong demand, centering on DRAM across all applications. For DRAM, there is some set build risk for mobile products due to supply issues with some components, but demand is likely to stay robust. Thanks to the expanding 5G market and related growth in content-per-box. For server, we expect to set build the major OEMs to pick up with the release of a new CPU. And demand from data center companies will continue to be strong, backed by solid demand for cloud. For PCs, centering on laptops demand from PC should stay solid as educational laptops enter peak seasonality and build demand for addressing Back to School is strong. Amid growing demand for overall applications, we will continue to strengthen our cost competitiveness and market leadership by ramp ups and tiny sales of cutting-edge products, such as 15-nano DRAM.  Demand in the second quarter in mobile, similar to DRAM, we should keep an eye on the possibility of disruptions and set builds due to component supply issues. But we expect demand to pick up because of growing content-per-box from expanding 5G lineups at major customers. Demand for server SSD is likely to stay strong due to increase storage demand from customers and a high-capacity trend with the release of a new CPU. We also expect demand to stay solid for client SSD while demand for low-to-mid priced laptops continues to rise, thanks to the influence of back-to-school effects along with the rising penetration of high-capacity products. We will actively address the increase in demand for high-capacity SSD with 8 terabyte or more, which focuses on us, while accelerating migration to the industry's only single-stack based 128-layer sixth generation 512 gigabit V-NAND strengthening technological leadership and cost competitiveness. Let me present our outlook for the second half of this year. Amid rapidly changing landscape of the memory industry, our R&D and investing constantly aims to meet needs for fast and higher energy efficient products to increase our performance. At the same time, we are enhancing our core capabilities with the responsibility of leading memory company. In the second half of this year, amid accelerating economic recovery due to persisting stimulus programs in numerous countries, we think demand for servers and storage will keep growing because of expanding investment in data centers and high-capacity trend with the release of a new CPU.  With a launch of new models for major customers and the broad penetration of 5G, which are likely to positively affect both set shipments and content-per-box of smartphones, we think mobile demand will keep rising. Furthermore, we expect demand from PC to remain strong in the second half, backed by continuing demand for upgrades and additional units in households around the world, with a steady increase in PC product content-per-box. However, we need to stay abreast demands uncertainties is caused by global macro issues, such as geopolitical risk and supply risk for some components. Based on strong, across-the-board demand within DRAM prices will continue their first half trend and keep rising through the second half. For NAND in the second half, due to a controller supply-demand imbalance for solution products. We expect demand for certain applications to exceed supply. So we will focus on staying on in front of changes in the market demand via big data analysis, and by responding actively to IT into infrastructure for data centers and customer demand in areas such as mobile products. In addition, as mainstream technology, 15-nanometer DRAM, and 128-layer 6th-generation V-NAND will drive our bit growth and cost competitiveness in the second half. And we will continue to strengthen our technology competitiveness by applying EUV on multiple layers of the 14-nanometer DRAM based on our industry-leading technology and by ramping-up the solution products in the second half, adopting double-stack based 176-layer 7th generation V-NAND. In closing, we recognized and presented importance and responsibilities that are now in the semiconductor industry. Memory in particular has progressively become the most relevant and vital element of our daily lives, as well as in the workplaces. We are now living in a generation that is increasingly emphasizing social and environmental values rather than simply a product features. With our most advanced technology and extraordinary talents, we will proactively contribute to the standardization of next-generation memory and continue to solidify our leading position as a trusted partner in the IT industry. Thank you.
Shin Dong Ho: Good morning. This is Shin Dong Ho from the System LSI Business. In the first quarter, we increased supply of mobile SOCs and image sensors backed by launches of flagship and high-end smartphones by major customers. But earnings remained mostly flat quarter-on-quarter due to impacts of mobile DDI supply issues caused by disrupted foundry production. However, we reinforced our technological leadership by releasing Exynos 2100, our first product to integrate a 5G modem into a premium mobile SoC, as well as a 50-megapixel ISOCELL image sensor with advanced Dual Pixel Pro technology. Now, let me talk about the outlook of the second quarter. In the second quarter, we expect overall demand for mobile components to weaken due to a seasonal decline in smartphone demand and continuing effects of the disruption of foundry production in the previous quarter. We will focus on achieving targeted results through a flexible product mix adjustment and pricing policies considering the tight global supply of semiconductors. In the second half of this year, we believe it'll be prudent to prepare for the possibility that the current shortages situation will persist, due to geopolitical factors, such as escalation of US-China tension as well as environmental factors that may affect semiconductor production. With System LSI, we will maximize our capability to supply chips by strengthening cooperation with the in-house foundry and expanding the use of outsourced foundries. And by implementing flexible pricing policies, we will strive to keep going. Thank you.
Seung Hoon Han: Good morning. This is Seung Han from the Foundry business. In the first quarter, earnings declined due to a disruption of production at Austin fab in the U.S. due to major power and water outage. Positively, we continue our effort to strengthen our technological leadership by starting the development of the second generation three-nano process and completing the development of the 14 and 8-nano RF processes to actively lead the 5G market. Turning to our outlook. In the second quarter, we fully normalized the production line in Austin, and we will try to improve profitability and sales by flexibly managing our product mix and using pricing strategies to secure future investment resources. In addition, we will prepare to expand supply in the second half of the year through the start of mass production at Pyeongtaek Line 2 and we will reinforce our differentiated high performance heterogeneous integration technology package solutions by completing the development of the 2.5D interposer package and starting development of 5-nano based 3D IC packaging. In the second half, we expect growth in the foundry market to exceed previous projections due to rising demand from accelerating 5G penetration, a continuation of the work from home trend, resumption of corporate IT investments, and growing demand from customers securing safety stock. We plan to respond to increasing customer demand through active supply expansions centering on advanced processes by a full operation of Pyeongtaek Line 2, but we will strive to secure the basis for future growth by expanding our global customer bases and by diversifying within the applications such as HPC network, automotive and others. The explosive increase in digital transformation demand is accelerating the rapid growth of the foundry industry to see greater opportunities. We are striving to provide the best service to our customers with advanced technologies, differentiated solutions and strong ecosystems. Furthermore, we will lead semiconductor industry through cooperation with all customers and partners so that the semiconductor industry can grow and develop. Thank you.
Choi KwonYoung: Good morning. I'm KwonYoung Choi from the Business Planning department at Samsung Display. In the first quarter, although the mobile display business posted a declining earnings, quarter-on-quarter due to shortages for some smartphone components and weak seasonality, growing adoption of OLED displays by flagship right to entry-level models is driving growth year-on-year. For the large display business, a rise in demand triggered by the expansion of contactless services and increasing VOD viewing hours led to positive changes in market factors, such as increase in ASP. However, earnings declined quarter-on-quarter as we continue to convert our manufacturing lines to in preparation for the next-generation TV market. Next, let me share the outlook for the second quarter, the mobile display business, it'll likely to see a slow down in quarter-on-quarter growth affected by the prolonged impact of the weak seasonality and component shortage in the first quarter. And latent demand for the new smartphone model is scheduled for release in the third quarter. However, we are determined to raise our utilization rate and secure profitability to securing key display components and further collaborating with our customers. Our large display will continue to pave the way for a smooth transition to new business model based on 2D display technology. Next, let me turn to our outlook for the display market and our core strategies for the second half of 2021. We expect the smartphones market to continue to recover in the second half thanks to rising 5G smartphone demand and economic recoveries. We at Samsung Display will strive to secure panel components and fulfill all orders for customers’ new product launches scheduled in the second half of this year. We'll also work to ensure a stable supply of products via timely development of new technologies. In particular, we'll strive to increase OLED market share in the mobile display market by diversifying within new application areas that are expected to grow post-COVID, including IT devices, such as tablets, laptops and foldable phones, as well as automotives. We’ll work to ensure OLED becomes the standard in the premium displays. For the large display business, we’ll channel our efforts through – toward preparing for the successful mass production of 2D display our next generation panel technology so that it can set a new standard in the premium TV and monitor markets. Thank you for listening.
Kim Sunggu: Good morning. This is Sunggu Kim from the Mobile Communications business. I like to discuss IM division’s Q1 results and outlook. In Q1 2021, market demand is expected to have decreased on quarter-on-quarter basis due to seasonality, but have recovered on year-on-year basis from Q1 2020 when the market was significantly impacted by COVID-19. As for our mobile business, flagship smartphone sales increased QoQ as the Galaxy S21, which we launched in January has been well received by the customers. Meanwhile, the Galaxy A series equipped with innovations and price competitiveness continued its solid sales performance. In addition, we have long been striving to enhance connected, convenient and rich experiences across our device ecosystem. And such efforts are leading to material growth in contribution from our tablet, PC and wearable businesses. Thanks to the above mentioned factors, our revenue and profits saw anterior growth QoQ. For our network business, search increased compared to the previous quarter, led mainly by those in North America and Japan and we maintained robust profitability. Now let me move on to Q2 outlook. Market is expected to decrease QoQ due to component supply shortage issue amid continuing seasonally weak demand. As for our mobile business, we expect sales to ramp up for A72 and A52, which we unpacked our first four A series models and also our new notebook PC Galaxy Book, which we unpacked just yesterday. In addition, we expect robust sales of tablets and wearables to continue. On the other hand, we expect partial decrease in new flagship launching effect and component supply shortage, which are likely to lead revenue to decrease QoQ. However, we are trying to minimize the impact of supply shortage and secure robust profitability by rebalancing supply via our global SCM capabilities. For the network business, we will continue responding to 5G equipment expansion in Korea and network rollouts in global markets, including North America and Southwest Asia. Now, let me move on to the second half and annual outlook. We expect market demand to recover to a pre-COVID level on annual basis or meet a gradual economic recovery and full-fledged expansion of 5G market. As for our mobile business, we will strengthen our leadership in the premium segment by continuing sales momentum of Galaxy S series and by popularizing the affordable category, which includes Z Fold and Z Flip. At the same time, we will strive to maximize sales of the new competitive mass market 5G models and to further grow our tablet, PC and wearable businesses. Through these efforts, we will try to achieve solid profits. In addition, we will continue our efforts to further strengthen the Galaxy ecosystem to provide more valuable and richer experiences to our customers by not only enhancing our own services, but also by collaborating more closely with the global leading partners. For the network business, we will remain active in 5G commercialization globally and continue to seek new business opportunities. Thank you.
Song WoonJun: Good morning. I'm Song WoonJun from sales and marketing team of Visual Display. First, I'd like to review the market conditions and our performance in the first quarter in 2021. The TV market in first quarter contract here to quarter-on-quarter after a year-on-year in peak season, but expanded year-on-year due to a strong demand in advanced markets. Samsung proactively address strong demand using our global SCM capabilities and we expanded sales and improved our profits year-on-year by prioritizing high value added products such as QLED, super large screen TV and lifestyle TVs. In particular, newly launched Neo QLED have garnered positive feedback from both consumers and our channel partners in every aspect, such as picture quality, sound and usability. And it has been showing strong sales at early stage. Our digital appliances in first quarter amid on continuing release of pent up demand, consumer needs for home appliances are becoming more diversified as the people spent more time at home and become more interested in home decor. We achieved revenue growth, not only in advanced markets, but also in emerging markets, such as Southwest Asia and Latin America. By expanding sales of premium products, including customizable bespoke products that can meet the diverse needs of consumers. Also profitability improved as we focused on our operational efficiency based on modular concept. Now let's look – let's us look at our outlook for second quarter in the second half of 2021. We expect TV demand in second quarter to increase year-on-year due to major sporting events, such as a Europe Cup and Olympics that were postponed last year. However, there are still market uncertainties as a several countries have a resume lockdown policies following additional waves of COVID-19. As I mentioned before, we will expand the sales of new models, which are receiving positive review in the market and implement promotions of our high picture quality products and super larger TV – super larger screen TVs to proactively target the ongoing rise in demand for home cinema and home entertainment, as well as demand inducing by sports events. Along with Neo QLED, which deliver the best viewing experience offering ultra slim design and AI based the sound with the industry’s highest contrast and black detail. We will further strengthen our leadership with successful launch of Micro LED for home. For digital appliances in second quarter, although market demand is expected to increase year-on-year, business condition may face risks such as a rising material and logistics costs. We will provide a new experience in home appliances and expand the ecosystem through Bespoke Home, which was introduced in the Korean market in first quarter. For the global market with client expand the launch of Bespoke to new region in phases, which will consolidate our unique identity. For air conditioners, as six years and begins, we’ll lead the market by popularizing our differentiated Windfree feature. And we’ll continue to grow throughout all our old products. And second half of the year, as demand moves from home entertainment to outdoor activities and travel amid an increase in vaccinations, we expect TV demand to decrease compared to the second half of last year, when impacts of pent-up demand were strong. So we will keep monitoring market demand and preventively address shifts in a dynamic market. We will strengthen our premium leadership and continue sustainable growth by expanding high value-added products such as Neo QLED, Micro LED and lifestyle TV like the frame, which is designed to satisfy diverse needs of our customer. Our digital appliances, market uncertainties have a potential to keep rising, but we will spread the successful Bespoke DNA globally and keep gaining growth momentum with innovative products, as well as new life products to meet consumer needs, while fostering growing channels such as a B2B and online. Thank you very much.
Ben Suh: Thank you for the presentations. That sums up the first quarter results presentations. Before we move on to the Q&A session, I would like to share several data points in key business areas. For DRAM in the first quarter, our bit gross was in the mid-single digit percentage and ASP increased in the mid-single digit range as well. For the second quarter of the year, we expect market bit gross to be in the low-single digit range and our bit gross should be around the market level. For the full year, we expect market bit gross to be around 20% and our bit gross to be similar. For NAND in the first quarter, our bit gross was in the low-double digits while ASP declined in the mid-single digit range. For the second quarter, we expect market bit gross to be in the low-single digit range and our bit gross should be similar. For the year, market bit gross is likely to be in the mid-30% range, and we expect to perform better than the market. In the Display Panel Business, in the first quarter, the OLED portion of sales was in the high 80% range and OLED sales volume declined by 1% in the late teens. The Mobile business in the first quarter sales volume was around 81 million units for handsets and 8 million units for tablets. The blended ASP, including tablets was US$243. And the smartphone portion of handset sales volume was in the mid-90% range. For the second quarter, we expect quarter-on-quarter shipments to decline for handsets, but rise for tablets. And the blended ASP is likely to decline quarter-on-quarter. We expect the smartphone portion of handsets to be in the low-to-mid 90% range. In the TV business, in the first quarter, sales volume declined by mid-20% range, and we expect shipments in the second quarter to decline by a mid teen percentage. With that, let’s now move on to the Q&A session.
Operator: [Foreign Language] The first question will be presented by Nicolas Gaudois from UBS. Please go ahead with your question.
Nicolas Gaudois: Good morning, and thanks for taking my questions. First question is regarding overall Samsung, could you explain our semiconductor competence shortage is influencing your overall business for sets and how you manage that issue going forward? And certainly regarding memory, despite the fact that bit shipments were somewhat better than expected in Q1 and pricing trends has started to improve. We’ve seen lag in of an improvement versus market expectations. Some of that could probably relate to some delay in technology migration as well as we initial ramp up costs of new fabs. For me on, could you share if you on the transition process to 1z nanometer DRAM and then one alpha and 128-layer NAND followed by next technology migration starting in Q2 and what is the timeline back of this for significant cost reduction. Thank you.
Song WoonJun: [Foreign Language] So take your first question due to the global semiconductor shortage, we are also experiencing some effects, especially around certain set products and the display production, but we are approaching this from multiple angles to minimize the impact. [Foreign Language] So for example, at the set level, such as smartphones, TVs and consumer electronics products, we are, first of all, talking closely with major component suppliers in order to gain the necessary component inventory. At the same time, we are also discussing with retailers and meter channels about supply plans, so that we are able to allocate the components to the products that have more urgent need or higher priority in terms of supply. So reflecting that feedback, we are currently rebalancing our overall production. At the same time, we’re also trying to optimize our supply lead time that’s required from receiving the parts, producing the product, and then delivering the finished products to the channels. This is in order to minimize any loss sales opportunities that maybe caused due to the component shortage. [Foreign Language] In that context, we are actually preparing to implement our next generation ERP system and ERP. This has capabilities in terms of large scale data processing, and also can support AI-based decision making. The plan is to start this implementation and roll this out to all of our local subsidiaries globally until January of next year. We think that with this next generation ERP system, we will be able to better respond more efficiently and more quickly to such macro issues going forward. [Foreign Language] On the display side, actually the DDI shortage has started from the second half of last year. So we were able to actually preemptively secure the necessary inventory. And so our impact during the first quarter was minimized. Currently for the display, we are focusing on securing the necessary part inventory by closely cooperating with the suppliers, and also we’re giving updates frequently to the customers regarding the situation in order to discuss supply plans. [Foreign Language] Also to switch hats, we’re also a semiconductor supplier. And so to respond to this current situation, we’re focusing on maximizing the efficiency of our current capacity in foundries. And also we’ll be actively responding to customer demand by – especially, by expanding our capacity around the cutting edge processes once Pyeongtaek Line 2 comes into full-scale operation in the second half. [Foreign Language] So I think your second question about the memory business, the reason why the operating profit decreased slightly in first quarter, despite the strong shipments and also positive DRAM ASP is mainly because of the initial cost necessary for the new fab for the migration and also the decrease in NAND ASP. However, looking towards the second quarter, we expect to see strong demand across all applications. And so we’re expecting in the second quarter, our results to significantly improve. [Foreign Language]About the 1G DRAM migration, that would be our 15-nano DRAM. And so we will be scaling up this migration towards the 50-nano DRAM and also this sixth-generation 128-layer NAND as we go forward. And so as we pass through the second half of this year, we expect the magnitude of cost improvement to continue to increase. [Foreign Language]
Operator: [Foreign Language] The next question will be presented by Soon-hak Lee from Hanwha Investment & Securities. Please go ahead with your question.
Soon-hak Lee: [Foreign Language] About the Austin fab power shortage, can you share with us, specifically the magnitude – the size of the damage that the company incurred and how much of that has been reflected in your first quarter results? Can you also give us an update on the restoration of the Austin operation? Second question is about the large raise displays, we do know that the LCD production has been continuing given the positive market situation. I’m wondering if there’s a possibility that you would decide to further extend your LCD production. Also can you share with us your business strategy for the QD display?
Han JinMan: [Foreign Language] To your answer first question, as you know, there was a major snow storm and a cold wave in Texas on February 6, which caused power and water outage. And this caused us to stop the operation of our Austin fab. After the power and water supply was returned to normal, we started on restoring the operation. And as of March 31, we were able to achieve 90% level of production moving. And currently, the Austin fab is fully normalized. There was wafer production disruptions due to the stopping and the recovery of the fab about 71,000 wafers were affected and this corresponds to around KRW300 billion to KRW400 billion of damage. The power outage and the water outage was actually preannounced. So we did have time to prepare for shutting down the plant. And we also had time to prepare for how we will be recovering the operation. Also from the very start of the event, we carefully shared our information closely with our customers. Also, we were able to, I think, bring back the operation, back to normal earlier than most expected because all of our employees were able to focus on this effort, according to the plan. Also going forward in order to prevent this from being repeated, we're currently talking with the state as well as the municipal government and also talking with the local utility companies about to find solutions. [Foreign Language] To answer your second question about the displays, as you know, QD-display is a major project that we have developed in order to enhance the long-term competitiveness of our large size display business. Currently, we're focusing on raising the level of completeness of the QD-display. And we'll try to launch the product as originally planned during the second half of this year. We're currently continuing to work with our customers to do this. Regarding your first part of the question, which was about the LCD products, as you know, we are continuing to produce LCD products, certain volumes based on market situation and customer requests. Currently, we have not reached any firm decisions regarding going forward, how long, whether is the production will be extended in terms of timing or scale. The LCD market we think is currently under very unprecedented volatility due to unexpected and unexperienced economic situation, as well as the components shortage situations. So we think that given that nature it's best for us to continue to respond to flexibly, based on market demand or market movements and customer demand, rather than taking any mid to long-term approach to LCD production. [Foreign Language]
Operator: [Foreign Language] The next question will be presented by Peter Lee from Citigroup. Please go ahead with your question.
Peter Lee: [Foreign Language] My first question is about the second half memory demand and supply outlook that the company has. I think the market is very interested in how the memory market will unfold. Can you share your views regarding this, especially some more details about the memory side on the second half? The second question is about the IM side, first quarter of performance has been strong. You've mentioned that second quarter may be a bit softer, but I'm wondering what you see in the rest of the year and the second half. Do you think that this trend will continue? And can you share with us some of your strategies in terms of profitability?
Han JinMan: [Foreign Language] To answer your first question about our memory outlook, in terms of SET bills, we think that the impact of the chip shortage would be focused mainly on PC and mobiles. And if the component supply situation improves there are factors that will drive further demand growth. For example, for PC, there is this trend of one PC per person also for mobile we – there it seems to be an additional penetration of 5G and also many countries are continuing to implement economic stimulus policies. So these would actually be able to drive further demand growth in PC and mobile. And so, given that I think this is a market situation that calls for constant monitoring. [Foreign Language] About prices, as you know, DRAM prices turned around in the first quarter. We think that this trend will continue in the second quarter, assuming that there will be a strong demand growth. Going forward, we think that the magnitude of price increase could actually become larger as time passes throughout this year. Also given the fact that additional upside on supply is limited. We think that this trend can continue until the second half. [Foreign Language] On the NAND side mobile content-per-box is continuing to accelerate. Also, there is definite increase in storage demand from the server side. And so we think that from the second quarter actually demand exceed supply in certain solution products, such as SSD, which is an area where we have strengths. [Foreign Language] Your second question about the mobile business, second quarter is a slow season and so we do think that demand for mobile will decrease versus the first quarter looking towards the second half there are some growth factors such as a gradual economic recovery being expected, and also the further rollout of 5G, which may drive demand growth. But on the other hand, there are still uncertainties, including the components shortage and the impact of COVID-19 still lingering. Also, there are some cost increases that we’re anticipating in the second half such as preemptive marketing that we’re planning to drive up sales of our flagship in the second half, as well as to raise the awareness of our foldable and the component shortage may have impact on ourselves as well. But despite these challenges, we will be focusing on maintaining a robust profit margin by maintaining a strong flagship sales, also increasing and expanding the user base of our foldable products as well as continuing to introduce a very innovative and powerful A-Series, as well as embodied by the A52 and A72, which were unpacked last March also by expanding the device ecosystem. That includes tablets, PCs, and wearables. [Foreign Language]
Operator: [Foreign Language] The next question will be presented by Claire Kim from Hana Financial Investment. Please go ahead with your question.
Claire Kim: [Foreign Language] I have two questions. So the first question is about the technology migration. I think there was a recent media report that your competitor is actually going or leading or taking ahead in terms of DRAM and NAND migration. So in that context, in the case of DRAM, the early adoption of EUV and for the NAND, the maintenance of the single step technology can end up being a bottleneck in terms of your technology migration. So in that context, can you share with us your assessment of the technology competitiveness levels from a mid to long-term perspective? Second question is about the V-NAND V8. Can you share with us an update on your plans of adopting V8 our development plans that would follow the 7th generation V-NAND?
Song WoonJun: [Foreign Language] To answer your question for DRAM first, and then to answer the part about NAND. In the case of DRAM, our most cutting edge node that is in a full scale mass production is 15-nano and currently in the industry, we have the largest share of 50-nano process in our overall node. [Foreign Language] Looking forward what we are planning in terms of mass production. And the second half is the 14-nano DRAM, which has already come successfully completed evaluation by the major chip set companies. Whereas the 50-nano process used EUV on a single layer, the 14-nano will be using EUV on multiple layers. And this demonstrates the fact that we have technology leadership in terms of utilizing EUV ecosystem in a differentiated manner. [Foreign Language] The reason why this EUV technology leadership is important is, because when EUV is applied and the new, how necessary in using EUV will be critical in further DRAM process migration, as well as the changing technology paradigm. And so we think that the early introduction of EUV will actually serve us very well going forward in terms of providing us the technology and cost competitiveness on a mid to long-term perspective. [Foreign Language] On the NAND side as you know, we have been significantly increasing the scale and the share of the 6th-generation V-NAND with 128 layers on a single stack those share all of that within our overall production has increased quite significantly during the first quarter. Going forward, we are planning to continue to increase the share of the high capacity, for example, 512 gigabit, which has the industry’s best cost competitiveness, and also actively respond to the demand of the high capacity SSDs of eight terabyte and above, which is an area where we are getting quite intensive demand from by flexibly operating our product mix. [Foreign Language] I think going forward in terms of the NAND technology paradigm not only the number of layers, but also the efficiency of the stacking technology will become a very critical factor. As you know, we have the strength of having the lowest height – stack height in the industry based on a single stack technology. This will give us the positive feedback structure in terms of development difficulty going forward. And we are planning to maintain outstanding cost competitiveness by using double stack technology to achieve stacks of up to – layers of up to the high 200 layer ranges on a cell layer basis.  [Foreign Language] Your second question was about our V-NAND, seventh generation V-NAND to give you an update. We're planning to go into a full scale mass production of solution products starting from the second half, and we will be announcing them as each application or product is prepared. [Foreign Language] For the V eight or X eighth generation V-NAND, actually our lab has already secured the working guy. Our milestones going forward is to pass the cost – crossover point by second half of next year and then to carry on to mass production. And this will also be part of our efforts to maintain product competitiveness.
Operator: [Foreign Language] The next question will be presented by Seung-Gun Kang from KB Securities. Please go ahead with your question.
Seung-Gun Kang: [Foreign Language] I have two questions. First question is that there was a media report recently of an M&A of Kioxia being evaluated at around $30 billion. This has triggered some expectations of NAND industry going through a consolidation phase. In that context, can you share with us what implications do you think there will be on the company by NAND industry consolidation process? Also, what is your strategy in trying to maintain your market share in the NAND business going forward? Second question is about the small and midsize displays. As you know in the small and mid-sized OLED market Samsung display has had a dominant position, but recently there's been new entry by Korean and Chinese competitors. So, first question is how does the company plan to respond to this additional competition going forward?
Unidentified Company Representative: [Foreign Language] To answer your first question, as we've emphasized several times before, we have no plans of driving an artificial consolidation in the NAND industry, the focus of our NAND strategy still remains on gaining a cost competitiveness through technology leadership, and actively responding to customer demand based on our mass production capabilities. [Foreign Language] Now, that's to just share some perspective regarding that topic. We do think that NAND market does have a larger number of players versus the DRAM market. So it seems that supply will be leading the market for some time, even this market situation. It appears that the economies of scale is critical because that will enable a supplier to supply products that are cost competitive and at the right time. And so whether a company has the economies of scale or not will determine whether that supplier can succeed going forward, inevitably companies that do not have that capability will not be able to meet the market demands and will be losing its position in the market. [Foreign Language] But once again, an industry transformation and consolidation is an area that we're not interested in directly getting involved in. And so we will continue to maintain the focus of our NAND strategy in increasing our cost competitiveness and technology leadership. [Foreign Language] Because in fact from our perspective, currently in the NAND market, there is very strong demand for example, high capacity solution products, SaaS or NVMe, which is an area where we offer quite a lot of strength. Also the market response to our products is very positive. And so from our perspective, the strategy for us in NAND is to continue to provide high value added, high-capacity products that satisfies the customer's needs in order to maintain our position as a trusted supplier within the NAND market. [Foreign Language] I'll touch on our second question about the small size displays. We are aware that the market is a bit concerned about the increased level of competition in the small size OLED market as new competitors enter the small and medium-sized OLED market, where we had traditionally been a dominant player. However, we had actually foreseen this possibility from several years before, and we have been implementing various strategies in order to further strengthen our market leadership and continuously maintain our market share. [Foreign Language] One of the key strategies in responding to the additional competition has been technology innovation. As you know, we have been the player that introduces many new technologies, display technologies first in the industry, including the camera whole low frequency operation and foldable displays. Also, we have continuously work with various suppliers in order to raise the level of technology completeness. As you know, it takes up it is – it has been this ability to introduce new technologies on a pre emptive basis and also the high level of SCM capabilities we have does give us a definite advantage versus any new competition. [Foreign Language] On top of this technology advantage, we also have a cost advantage given the fact that we have made major investments at least two to three years ahead of the new competitors. So that will give us quite a lot of cost advantages. So based on this technology and cost advantage, our focus will be to continue to maintain a strong relationship with our customers by supplying the products necessary for the flagship smartphones on a stable basis, and also to actively utilize our proprietary intellectual property in order to effectively maintain the first mover advantage in the OLED market. [Foreign Language]
Operator: [Foreign Language] The next question will be presented by [indiscernible] from ‎Korea Investment & Securities. Please go ahead with your question.
Unidentified Analyst: [Foreign Language] I have two questions. The first question is about DRAM and DRAM. DDR5 five is a major topic. So in that context, can you share with us your plans for example of how Samsung is planning to enter the DDR5 related market? Second question is about the, the foldable smartphones. I think there is building interest in the company's foldable strategy in that context, can you share with us your second half foldable lineup and how you plan to differentiate the foldable?
Han JinMan: [Foreign Language] DDR5 can actually be used in a wide range of applications including supercomputers, high performance servers, cloud data center network as well as edge computing and so we're currently working very closely with a major CPU companies as well as data center companies in terms of technology and marketing. [Foreign Language] Our offering to DDR5 is 512 gigabyte DDR5 memory module, which is the largest capacity in the industry. It also was the first general purpose DRAM product to adopt an eight layer TSP technology and high K metal gate technology. Also therefore, we expect that our DDR five memory module will be able to deliver high capacity, high performance, low power consumption at the top industry levels and will play a key solution role in the cutting edge industries such as next generation computing, high capacity data centers and artificial intelligence. [Foreign Language] On the research side, main focus of our memory research currently is to on developing a memory that support CXL which is one of the next generation high capacity memory solutions. Also we will continue to achieve technology innovation to maintain the technology leadership in DDR as well
Unidentified Analyst: [Foreign Language] To answer your second question about the foldable, the focus of our foldable strategy this year would be to popularize or expand the user base of our foldable phones. So the focus of Z fold this year would be to emphasize its large screen and the differentiated experience and entertainment and productivity to position the Z folds at a premium of positioning before the Z flip. We are going to emphasize the stylish design as well as improve the usability to appeal to millennials as well as the female user base. Even though I'm not at liberty to talk about the details of our second have foldable lineup today, what I can say is that we are focusing on improving the functionality and form factors compared to the previous models based on customer feedback. Also, we are emphasizing a stronger foldable ecosystem by closely working strategically with the partners so that customers will be able to experience an improvement in not only the level of product completeness but also in terms of customer experience. [Foreign Language]
Operator: The last question will be presented by Sung kyu Kim from Daiwa Capital Markets. Please go ahead with your question.
Sung kyu Kim: [Foreign Language] Well, my first question is to the memory division about their outlook or their view about the mobile market going forward. On one hand there is been very positive expectations, such as the pent up demand coming online from second half of last year for mobile demand, also the expectations that with the 5G models being introduced this year, there will be an increase in not only handset volume, but also content per set. But on the other hand, there is been some negative issues such as the shortage of certain components including APs, and also some views that in certain areas due to the weak or underdeveloped 5G network infrastructure, mobile demand may actually be softer than expected. So given this different, a mix of factors, I'm wondering how the memory division looks upon the mobile market, also I do – I am aware that mobile takes on a larger share within the memory business. Can you share with us what competitive advantages or competitiveness you think the mobile business has in terms of mobile supply? Second question is about the VD business, with the supply of LCD panels continuing to remain short, LCD panel prices have increased quite significantly. This may have a negative impact on your TV business. So in that context we – I would like to hear how you plan to respond and what you expect going forward?
Han JinMan: [Foreign Language] Well, to answer your question about the mobile market outlook. In the second quarter, we are expecting that there will be some issues in the short-term due to the supply issues of other semiconductor components, but looking towards the second half of this year, we're expecting that there will be an increase in both handset sales, as well as content per box as major OEMs are expected to launch new products, and also we're expecting that there will be a wider adoption of 5G. [Foreign Language] To answer the – to continue to answer your question, we think that in the mobile segments, the demand for LPDDR5 products will grow especially for the 5G flagships on the high-end models. And therefore, we're continuing to collaborate with the AP chipset companies using our product competitiveness. And the chipset companies are also expanding their AP production in line with the production of our LPDDR5 uMCP. So major companies are planning to apply in their mass production, the LPDDR5, our LPDDR5 and the UFS 3.1 base uMCP, we think that with our active efforts and technology, we will be able to accelerate the creation of a 5G ecosystem. [Foreign Language] You've also asked about our competitiveness in mobile, and actually our supply is increasing not only to flagship, but also to the high end model using the 256 gigabyte and also in mid range models with a 128 gigabyte, also leveraging our excellent cost competitiveness, we are planning to increase the competitiveness in the high and mid-end markets based on the 512 gigabit, 6th-generation V-NAND product. [Foreign Language] To answer your second question about the TV business, as you mentioned, due to the very strong TV demand that's been continuing from the second half of last year, there are some impact to the supply of key components including LCD panels and semiconductors. We think that this trend will remain for some time going forward. In response, one approach that we have is to leverage our global SCM capabilities to avoid any production disruptions during the second half. At the same time, we're focusing on securing profitability, especially around the high end products by – for example, planning preemptively promotions with key retailers and distributors in time for the peak season for each country this year, so that we will be able to expand especially our premium new model offering Neo QLED ultra-large size TVs, as well as the lifestyle TV, which is a product group that we have differentiation.
Ben Suh: Okay. So that concludes our conference call. Once again, thank you for joining us, and we wish all of you and those close to you to stay strong and in good health. Thank you. [Foreign Language]